Operator: Good morning. My name is Britney, and I will be your conference operator today. Welcome to the Ecovyst Second Quarter 2021 Earnings Call and Webcast. Please note, today's call is being recorded and should run approximately 1 hour. Currently all participants have been placed on a listen-only mode to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions]. I would now like to hand the conference over to Nahla Azmy, Vice President of Investor Relations and Financial Communications. Please go ahead.
Nahla Azmy: Thank you. Welcome, everyone. We are thrilled to have you join us for our first investor call as Ecovyst with a new trading ticker symbol of ECVT. We will start today with formal remarks from Belgacem Chariag, Chairman, President and Chief Executive Officer; and Mike Feehan, Vice President and Chief Financial Officer. Then we will follow with a Q&A session. Please note that some of the information here today is forward-looking information about the company's results and plans, our anticipated end-use demand trends, including the impact of COVID-19 and our 2021 financial outlook. This information is subject to risks and uncertainties that could cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the company's filings with the SEC, including in the company's annual report on Form 10-K for the year ended December 31, 2020. Reconciliations of non-GAAP financial measures mentioned on today's call with their corresponding GAAP measures can be found in our earnings release and presentation materials posted on the Investors section of our new website at www.ecovyst.com. With that, I'm pleased to turn the call to Belgacem.
Belgacem Chariag: Thanks, Nahla, and good morning, everyone. I'm very excited to be here with you today. This week is very special for me. It marks my 3-year anniversary with the company, a period during which we restructured our businesses, transformed our portfolio and set the stage for executing a clear and well-developed winning strategy. This week has also been a momentous one for the company as we closed the sale of Performance Chemicals and formally launched Ecovyst, a pure-play, high-growth catalyst and services company. We have arrived at this next chapter of our journey thanks to the strong team execution and the solid support of our customers and shareholder base. Before I provide an update on Ecovyst and its strategy and cover the second quarter highlights, I would like to recognize and welcome Mike Feehan, Ecovyst's new CFO. He has been with the company for 15 years and succeeds Mike Crews, who decided to retire upon the completion of the transformation. We would like to thank Mike Crews for his significant contributions over the last 6 years in bringing the company public and executing this transformation. We all wish him well in his future endeavors. With that, I will now turn to the slide presentation, starting with Slide 3, to provide a brief review of the now completed simpler and stronger PQ transformation strategy. We closed on the sale of Performance Chemicals on August 1, 2021. With the net cash proceeds, we reduced debt by approximately $525 million and planned another meaningful cash return to shareholders of $3.20 per share. This will bring our total cash return to shareholders to $5 per share in just 8 months' time. We have taken a balanced approach to capital allocation since the IPO in 2017. Combining the proceeds from the sale of the 2 business segments, several asset monetization and strong free cash flow generation, we allocated approximately 1/4 for business reinvestment, 1/4 for dividends with the balance of 1/2 for debt reduction. To summarize, we started on a strategic path to transform PQ from a strong foundation of 4 specialty businesses to be a simpler and stronger portfolio. With this final step of closing the sale of Performance Chemicals, we have succeeded in repositioning the company, now known as Ecovyst. We believe that with significantly higher sales and adjusted EBITDA growth, coupled with leading margins and cash conversion rates, Ecovyst compares favorably to its specialty chemicals peers. With that history behind us, let me turn to the outlook of Ecovyst, its growing and greening strategy and investment proposition. Referring to Slide 4, Ecovyst's mission is to be a catalyst for positive change through technologies that will play a critical role in supporting ecological health. We are committed to propelling expansion and growth for our customers. Ecovyst is a more focused, nimbler company with 2 industry-leading businesses: Ecoservices and Catalyst Technologies, formerly known as Refining Services and Catalysts, respectively. These businesses command #1 or 2 positions with their customers. Our core strengths include a track record of innovation, a diverse portfolio of proprietary products and services and close collaboration with leading global players. For the Ecovyst strategy, fundamental to our future is the fact that approximately 75% of our current end-use sales already solve customer needs and consumer demand for more sustainable products and services. Going forward, we are poised to focus primarily on enabling our customers with new novel solutions that meet the continued tightening standards for a cleaner economy. Over the next 5 years, approximately 80% of our R&D project pipeline and 90% of our R&D investment dollars will target increasing sustainable products and solutions to accelerate our commercialization and growth initiatives. With respect to our capital allocation objectives, our priorities for the use of free cash flows will continue to be opportunistic and balanced between debt reduction and bolt-on complementary business acquisitions. On the Ecovyst investment proposition, we have 2 uniquely positioned specialty businesses with specified proprietary technologies and strategically positioned networks. This provides us with foundation to capitalize on meaningful opportunity set to grow with our customers as they shift with changing demand fundamentals. Our competitive advantage enables us to secure long-term contracts and favorable commercial terms, including minimum volume guarantees and cost pass-through that drives high visibility of recurring revenues. In addition, we have a proven ability to flex our cost structure to deliver strong margins in a wide range of economic environments. Over the 5 years period from 2020 to 2025, we expect this portfolio to deliver compounded annual growth rates of high single digits for sales and double digits for adjusted EBITDA with mid to high 30% adjusted EBITDA margins. This should lead to even higher cash flow conversion than the current strong level. Now I'll discuss our 2 core businesses and their end-use growth trends. First on Slide 5 for Ecoservices. This business is primed to grow with multiple greening trends, including the shift to clean and efficient fuels, electrification and sustainable industrial solutions. Clean fuels represent our regeneration services, which are critical for refinery alkylate production. We have an unparalleled North American network, particularly in the Gulf Coast region, with the largest alkylate producers. Alkylate demand continues to grow with an expectation of 4% compounded annual growth rate from 2020 to 2025 due to the continued favorable secular drivers. These include increasing demand for premium fuels, powering more fuel-efficient engines, addressing global low sulfur and low Reid vapor pressure fuel standards and meeting higher Gulf Coast gasoline exports. We also expect to benefit from the strong recovery in vehicle miles traveled as 2021 is projected to exceed 2019 levels. Next, for industrial applications. The market for specialty grade high-purity virgin sulfuric acid continues to rebound due to the global economic recovery. More exciting is the rapid secular growth that we are seeing from increased mining activity. Rising electrification and greening infrastructure are driving increased use for copper, borates and lithium. As an example, the copper content in electric vehicles is estimated to be approximately 4x that of an internal combustion engine vehicle. The production of these metals and minerals requires large amounts of sulfuric acid, especially for the new mines in the Southwest U.S., where our network and logistics management in this region are strategic to our customers. Finally, on waste treatment and catalyst activation, which firmly support the trend for sustainable solutions. Waste treatment services will capitalize on the movement to increase waste recycling. We have a unique ability to recover energy from waste and enable our customers to take advantage of waste exemptions. Our off-site catalyst activation business, Chem32, provides a safer, cleaner and lower-cost solution to traditional and renewable fuel producers. I would note that it is also benefiting from the proliferation of renewable diesel production, which almost exclusively utilizes off-site catalyst activation services. Next on Slide 6 for Catalyst Technologies. We expect this business to continue its rapid growth driven by demand for customized technologies. Our customers are increasingly working with us to develop new catalysts that meet accelerating sustainability trends for stronger and lighter polymers, cleaner fuels and cleaner air. Within clean fuels and air, as with Ecoservices, this business will benefit from increase in vehicle miles traveled, which drives higher refinery utilization rates, more recently nearing 90%. As a result, we expect hydrocracking catalyst change-outs to increase as we enter the second half of 2021 and accelerate into 2022. This should drive double-digit sales growth for our hydrocracking catalyst in 2022 over 2021. In addition to the recovery of catalysts for traditional fuels, we're also seeing rapid demand growth for renewable fuel applications. With regards to emission control catalysts for heavy-duty diesel or HDD, as OEMs increase their production, we are seeing improved demand sequentially in North America and Europe, where we have the strongest customer positions. As supply chain issues abate, we believe this segment will continue to recover in 2022. With polymers, our polyethylene catalyst growth continues to outpace the overall related market. This is attributed to our silica-based proprietary technologies which are specified by leading global producers for high-density polyethylene or HDPE. HDPE is used for packaging and films, which we expect to exhibit continued strong growth from rising population trends and consumer focus on health and hygiene. In terms of sustainability trends for recycling, we believe that we have a competitive advantage over new entrants. We not only have the technology to develop pyrolysis catalysts for chemical recycling of mixed plastics but also the experience and credibility with customers to co-develop and scale out their solutions. We are in the demonstration phase of such catalysts and expect the development phase to follow. Finally, on niche custom catalysts. Lower production and delayed R&D and capital projects during 2020 and 2021 impacted demand. Recently, we have seen these projects resume and expect to have a strong recovery in 2022 with double-digit growth in subsequent years. In addition to the continued growth of our existing proprietary catalysts, we expect newer projects to focus on novel biochemical applications and metals recovery activities. We believe this will diversify the segment in a manner that will provide consistent growth with attractive margins. In summary for both these businesses, the economic recovery and secular market trends, coupled with our favorable customer positions, are expected to drive growth in volumes with favorable pricing terms under long-term customer contracts. As a result, we expect this will translate into accelerating growth in the second half of 2021 through 2022. Turning to Slide 7. I'll now discuss our key focus areas for accelerating sustainability initiatives. Our commitment to innovation is how we differentiate ourselves in the marketplace. We are tailoring catalysts for the specific needs of our customers and supporting them in addressing their technical and operational challenges. As I mentioned earlier, with close collaboration with leading global companies, we have been long-standing suppliers of sustainability products and services, addressing tightening global regulatory standards and changing consumer preferences. For example, we continue to develop products that improve air quality through lower sulfur and NOx emissions in fuels. We are focused on the development of catalysts that help make plastics stronger and lighter, enabling the recycling of mixed plastics to complete the plastic circularity curve. We also enable higher alkylation for improved fuel economy and help transform biomass into biofuels and synthetic rubber for green tires. With greater focus on resources, Ecovyst will expand and accelerate the commercialization of its portfolio of sustainable products by redirecting its R&D investment. Our innovation investment ratio on new sustainable products has gone from 60% in 2015 to 80% in 2020, and we anticipate further advancement to 90% by 2025. We will be targeting a pipeline of customer-supported projects for clean air, plastic circularity and renewable fuels and materials. We see tremendous market opportunities and growth potential in these market areas. That essentially covers our Ecovyst strategy and businesses. Now let's shift to Slide 8 for a review of the second quarter highlights, starting with safety. With all the portfolio activities we've had underway, our leaders make sure they remain focused, continue to emphasize risk identification and mitigation, reinforcing the rigorous implementation of our processes. Year-to-date, we maintained a solid safety record and posted over 90% perfect days, which is considered a top-tier achievement. On operations, first, our strategic and flexible manufacturing network, coupled with our team expertise, were critical in navigating through the supply planning and logistical challenges faced by our catalyst customers. Not only did this benefit us in terms of sales, but this execution should also serve us well for the long term with these customers as they continue to seek certainty of supply. Second, we completed 3 facility turnarounds on budget and in time for the anticipated strong seasonal summer demand in the third quarter for our regeneration services and virgin sulfuric acid. On the commercial front, our polyethylene catalyst sales growth continues to outperform the market given our proprietary technologies and services supply solutions. Further, Chem32 has been successfully capturing sales growth from the renewable fuels market. On strategy, we have already largely discussed our execution and future positioning. I would just add that we completed the Ecovyst refinancing for optimal payment terms to support a key element of our capital allocation, which is debt repayment. Finally, on financials. We delivered solid performance in the second quarter as we are in the recovery phase from the impacts of the pandemic. Sequentially, quarterly sales rose 16%, adjusted EBITDA increased 25% with a 200 basis point margin improvement, primarily on higher regeneration services and polyethylene demand. We expect an even stronger second half with significant growth in both top line and earnings as demand growth continues in each of our end-use markets. Now I would like to turn the call to Mike to discuss our second quarter financial results and outlook.
Mike Feehan: Thank you, Belgacem, and good morning, everyone. It is my pleasure to speak with you today as I'm excited to share the results of a successful second quarter with you. Our second quarter results showed significant improvement from the first quarter, with sales increasing 16% as we return to more normal levels post Winter Storm Uri and continue to see the overall economy rebound. Refinery utilization has increased to approximately 90% compared to 80% in the first quarter, almost back to 2019 levels. Volume increases and favorable product mix contributed to the 25% adjusted EBITDA growth despite higher plant turnaround costs incurred in the quarter. Compared to the second quarter of last year, sales had a similar story, increasing 15%, driven by the higher volume and the pass-through of higher sulfur costs in Ecoservices. The major refineries we service are now operating at higher utilization rates, driving regeneration service demand. Demand for our polyethylene and catalysts used in renewable fuels were strong in the quarter, while customers in our Zeolyst joint venture continue to defer orders for hydrocracking catalysts to the second half of the year. Over the same period, adjusted EBITDA increased 5% as the higher volume growth in Ecoservices was offset by the higher plant turnaround costs and the lower volume in Zeolyst joint venture. Turning to Ecovyst on Slide 10. As discussed on the previous slide, Ecoservices volume and the pass-through of higher sulfur costs were the primary drivers for higher sales and adjusted EBITDA in the quarter. Compared to the first quarter, we saw a 20% increase in both regeneration services and virgin sulfuric acid sales. The increase in regeneration services was driven by refinery utilization as vehicle miles driven continues to increase with the economy returning to pre-pandemic levels. Virgin sulfuric acid sales increased primarily on $7 million of higher sulfur cost pass-through while volumes remained in line. This was also the first quarter to fully enjoy the contributions of the Chem32 acquisition. Adjusted EBITDA grew 23% compared to the first quarter as the higher regeneration services volumes contributed $12 million of the increase, while the successful execution of 3 plant turnarounds with $5 million in maintenance costs offset some of those gains in the quarter. The second quarter represented the high point for plant turnarounds as we're only planning 2 more for the remainder of the year. Comparing to the prior year, sales have increased $30 million or 34%, driven by the broader economic recovery. Regeneration services volumes represented half of the increase in volume. And with sulfur prices steadily rising since the second quarter of last year, the pass-through impact from pricing contributed $10 million to the top line. Adjusted EBITDA increased $5 million or 16%, primarily on the increased volumes, but also through the contributions from the Chem32 acquisition. Margins in Ecoservices, however, were impacted 320 basis points from the higher sulfur cost pass-through as well as from the $5 million of plant turnaround costs. On Slide 11, you'll find our Catalyst Technologies segment. This continues to include the results of our Silica Catalysts business and our Zeolyst joint venture. Compared to the first quarter, including our 50% share of the Zeolyst joint venture, sales and adjusted EBITDA increased 7% and 12%, respectively. Sales in our Silica Catalysts business were in line with the first quarter as double-digit polyethylene sales growth continues to provide a strong base for our business. This was offset by timing from our chemical catalyst sales due to a large methyl methacrylate order shipped in the first quarter. Sales in our Zeolyst joint venture increased 14% as demand for hydrocracking catalyst and emission control catalyst begin to recover, while we continue to have strong sales into renewable fuels. We anticipate continued growth in fuels and emission controls as the year progresses. Turning to the prior year comparison, both sales and adjusted EBITDA declined compared to an exceptionally strong quarter last year. The long lead time for our products doesn't allow for quick changes, so order deferrals related to the pandemic last year, primarily in the Zeolyst joint venture, didn't begin to impact our sales until the third quarter of 2020. Our polyethylene growth in the quarter continues to outpace the market with significant increased demand compared to last year. These sales offset a more concentrated first half in 2020 for chemical catalyst sales. And then the Zeolyst joint venture sales were lower driven by a decline in hydrocracking and specialty catalysts. Helping mitigate this decrease in the joint venture was the high demand for our renewable fuel catalyst materials, which we do expect to continue into the second half of the year. Moving to Slide 12 and our outlook for the remainder of the year. We remain positive on both sales and adjusted EBITDA. In Ecoservices, we expect to see improving utilization rates throughout the summer months barring a major weather event as we enter into the hurricane season in the Gulf. We have seen a significant increase in sulfur prices in the first half of the year, but anticipate sulfur prices will remain stable through the third quarter and begin to reduce in the fourth. Given the higher sulfur cost pass-through in sales, we are raising our GAAP sales guidance by $10 million to between $565 million and $575 million. Adjusted EBITDA in the second half is expected to increase significantly over the first half, driven by these higher sales. This is primarily supported by the increase in hydrocracking catalyst sales as refiners begin to replace their catalyst beds that were deferred from earlier in the year. We expect sequential quarterly adjusted EBITDA growth to continue with our third quarter EBITDA 15% to 20% higher than our second quarter. This would result in a 25% to 30% increase over the prior year third quarter, while remaining in line with our full year guidance of $215 million to $225 million. Adjusted free cash flow guidance declined slightly to $60 million to $70 million due to the earlier-than-anticipated closing on the sale of Performance Chemicals, which occurred on August 1. This also includes additional capital in our Catalyst Technologies business and IT-related capital costs expected as part of the separation of the Performance Chemicals business. Therefore, we're increasing our capital expenditure guidance by $10 million, but we continue to look for ways to reduce capital spend as necessary. During the quarter, ahead of the close of the sale of Performance Chemicals, we refinanced our debt with a new $900 million term loan at favorable interest rates. We used the net proceeds from the sale to pay down the remaining legacy debt of $526 million and have declared a $3.20 per share special dividend, both of which were at the high end of our targeted ranges. With our strong expected cash generation for the second half of the year and continued focus on debt reduction, we expect our net leverage to be in the mid-3x by year-end. And with that, I'll turn the call back to Belgacem, and I look forward to continue to work with you as we execute on our growth strategy.
Belgacem Chariag: Thank you, Mike. Now I'd like to summarize with Slide 13. Ecovyst's pivot to a pure-play catalyst and services provider could not come at a better time. We are benefiting from near-term tailwinds of the global economic recovery and the mid to long-term sustainability-driven secular trends that favor our specialty portfolio. We are increasingly confident that our growing and greening strategy of industry-leading growth and prudent capital allocations will drive more shareholder value through the next decade. In closing, I would like to reiterate the following. We are pleased with our year-to-date performance operationally, financially and commercially. With the economic recovery and gains from new markets, we are on track for a strong second half of the year to meet our 2021 financial objectives, positioning us for an even stronger 2022. And with the launch of Ecovyst, we are now positioned to deliver on the strategy of rapidly growing our sustainability-focused portfolio of products and services and achieve the 2025 growth targets. Finally, we are proud of our progress so far and excited about our future as Ecovyst. I would like to take this opportunity to congratulate the whole team for reaching this milestone and writing a new chapter in the history of the company. This concludes our formal remarks. We wish you and your families a safe and healthy summer. With that, we're now ready to take your questions.
Operator: And we will take our first question from David Begleiter with Deutsche Bank.
David Begleiter : Belgacem, just on the Q3 versus Q2 ramp in EBITDA, can you give us a little more color on the segment by segment ramp you're expecting this quarter?
Belgacem Chariag : Dave, we've always talked about a seasonal high season driving summertime for Ecoservices. So we're going to see a good ramp-up in sales and obviously EBITDA in the third quarter from Ecoservices. We're also expecting the return acceleration of some of the hydrocracking sales in Q3 versus Q2, but it will accelerate even more in Q4. Those are really the main drivers. It's a pure high top line, high-quality top line that's going to generate nice margins in the third quarter.
David Begleiter : Very good. And you mentioned a little bit about Chem32. How is that performing? How is that meeting your expectations? And how is the M&A pipeline going forward for you guys?
Belgacem Chariag : Well, the first on Chem32 first, we can't be more happy than we are right now with the outcome of what we bought. We bought a great company, an interesting technology that has a huge potential going forward with renewables. It's delivering exactly as we expected and more. And we actually are very impressed with the business and we think it's going to be a good growth engine for us going forward. On the M&A pipeline, we would love to do a few more of those, Chem32. As I noted before, our capital allocation is going to be opportunistic between paying back debt, of course, and lowering our leverage to the lowest possible level, but also creating an engine for inorganic growth. As I said before, we're going to target smaller opportunities, good quality opportunities like the Chem32 that will not impact as much our leverage but will create an increase in our EBITDA and our growth and will generate an opportunity for us to plant the seed for some of the renewable technical opportunities and technologies for the future.
Operator: And we will take our next question from Angel Castillo with Morgan Stanley.
Angel Castillo : Belgacem, just if I could just expand on that last question. In terms of the, I guess, opportunistic or smaller opportunities, similar to Chem32 that give you a technology boost. Curious what you're seeing from a valuation perspective or a competitiveness of kind of the bidding process or within the pipeline that you're looking at within kind of the smaller deals?
Belgacem Chariag : Well, remember, I've been talking about us monitoring opportunities for inorganic growth for a while now. And now that we have a little bit better flexibility and we're in a much better position of focusing our investments in really what matters. We do have a track of several opportunities in the catalyst business and several in the Ecoservices business that will be not only just a business addition but also a seed for the transformation of our overall portfolio that's going to take place over the next decade. So we're targeting technology. We're looking at technology seeds that we could develop and accelerate into the markets. We're targeting and looking at some specific catalyst technology that could give us access to markets that we don't have today. You name it. We're targeting volume increases in some cases where we want to make sure that we diversify our Ecoservices portfolio, particularly. And we're also, remember, we're also targeting some internal investment in growth from capital utilization into assets increase and all that. So all that is in the same equation. We have our eyes on a couple of opportunities. Timing is always difficult, but if they and when they show up, even tomorrow, as early as tomorrow, and they make sense, we will grab them. Otherwise, we will keep lowering our leverage and doing exactly what we set all along the strategy from a capital allocation to be.
Angel Castillo : That's very helpful. And then just on the Catalyst Technologies business. It sounds like there's, I guess, part of what we're seeing in the second quarter is still just the lag effect of the deferred or I guess the hydrocracking deferrals from prior periods, but it also seems like you're seeing kind of improvements as we move forward here in line with what you previously expected. So curious, could you update us on maybe what you're hearing from your customers, what are you seeing from orders and how that differs versus maybe where you thought you were in kind of Q2 and what you're seeing from a deferral perspective as we move into Q3 and Q4 in terms of discussions from customers?
Belgacem Chariag : Great question, Angel. I think, we said before as well that we have a great visibility into the orders for our hydrocracking catalyst business, particularly. Those orders visibility ranges from 5 to 8 months. And we do have visibility, very clear visibility, obviously, on Q3 with certainty. We do have clear visibility until the end of the year and actually into Q1. And what we see is a nice ramp-up. And we expect actually Q4 to be a very interesting peak in terms of growth versus the last couple 3 quarters. But let me clarify one thing earlier that Mike mentioned about the delay of impact of hydrocracking in our volumes. As you noted last year, when the market was slowing down, we still had an amazing Q2 in hydrocracking and in catalyst in general because the way the contracts are set, we see the impact and a little bit of delay. The recovery is happening, we see it sooner. So as soon as we start getting those orders executed, which we're ready now with all the turnarounds and maintenance that we've done, we're going to see a nice ramp-up Q3 into Q4 and hopefully throughout 2022. So we're very confident and excited actually about the return of hydrocracking towards the end of the year. And that is why our second half of the year is going to show an amazing change over first half, primarily from a hydrocracking and catalyst return in the second half and a strong Q3 for Ecoservices.
Operator: [Operator Instructions]. And we will take our next question from Alex Yefremov with KeyBanc.
Aleksey Yefremov : I think your third quarter guidance of 15% to 20% sequential growth suggests that 4Q is flat to slightly up sequentially from the third quarter. Is that correct? And if it is, how are you thinking about seasonality? Why wouldn't you see some negative seasonality in Q4 versus Q3?
Belgacem Chariag : Aleksey, listen, typically, we would see a slowdown in Q4. This year is unique because the slowdown that would happen in Ecoservices, which is typically we see in the third, the fourth quarter, is more than offset with what we see as the ramping up of the hydrocracking orders that are trying to catch up by the end of the year. It's probably going to be flattish to slightly up. If we manage to get all the orders in December, particularly within Q4, I think we're going to have probably one of the highest Q4s we've had in a while.
Aleksey Yefremov : And could you talk about the current size and potential ramp in renewable diesel product demand that you're selling or your opportunity in this area maybe in '22, '23 and beyond?
Belgacem Chariag : Yes. We're very excited about our position with renewable diesel, Aleksey. We are commercial with products already and our sales in renewable diesel, remember, the numbers are still small, but more than doubled in the last quarter, in this quarter versus the previous one. And we anticipate additional growth in renewable diesel from the technology that is commercial. We're also working very diligently on some additional new technology or modified custom fit for some specific customers that will kick in a lot sooner than we would think in terms of giving us the opportunity to capture more market. The overall renewable growth demand is as high as 20% to 30% right now as we see it in the next few years. And we're riding a very nice wave of growth due to our early entrance and our commercial products in place.
Operator: We have no further questions in the queue at this time. This does conclude the Ecovyst Second Quarter 2021 Earnings Call and Webcast. Thank you for your participation. You may now disconnect at any time.